Operator: Good morning and welcome to the PGT Innovations Fourth Quarter 2021 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Brad West, Senior Vice President, Corporate Development. Please go ahead.
Brad West: Thank you and good morning and welcome to PGT Innovations fourth quarter and fiscal year 2021 investor conference call. With me on the call today are President and CEO, Jeff Jackson; and Chief Financial Officer, John Kunz. On the Investors section of our company website, you'll find the earnings press release issued earlier today as well as the slide presentation we have posted to accompany today's discussion. This webcast is being recorded and will be available for replay on the Company's website. Before we begin our prepared remarks, please direct your attention to the disclosure statement on Slide 2 of the presentation as well as the disclaimers included in the earnings press release and our SEC filings that discuss forward-looking statements. Today's remarks contain forward-looking statements including statements about our 2022 financial performance, outlook and the potential future impact of the COVID-19 pandemic on our business. Those statements involve risks, uncertainties and other factors that could cause actual results to differ materially. Additional information on factors that could cause actual results to differ than expected results is available in the Company's most recent SEC filings. Additionally, on Slide 3 note that we report results using non-GAAP financial measures, which we believe provide additional information to help investors compare prior and present performance. A reconciliation to the most directly comparable GAAP measures is included in the tables attached to the earnings release and in the appendix of the slide presentation. At this time, I would like to introduce our new Chief Financial Officer, John Kunz, who joined us in January.
John Kunz: Thank you, Brad. Let me begin by saying how honored I am to have joined the management team of PGT Innovations at this stage of our evolution. I am looking forward to working with Jeff, the Board, and the rest of the PGT Innovations team in continuing to grow the Company and shareholder returns. I will now hand the call over to our company, CEO and President, Jeff Jackson.
Jeff Jackson: Thank you, John. And good morning everyone and thank you for joining us on today's call. First, I would like to say why very pleased I am to welcome John to the PGT Innovations team. John has tremendous financial and accounting leadership experience and a thorough understanding of key business drivers within the construction industry. Additionally, I want to thank Brad West for his leadership during his tenure as Interim CFO and for continued leadership, as he returns to his primary role of focusing on Strategy and Corporate Development. I'm very proud of our entire PGT Innovations' team for their efforts over the past year in an operating environment that continues to be challenging, complex and unpredictable. And I want thank our PGT team members, dealers, and distributors, who continue to go above and beyond to service our customers. Today, we will recap our business results for the fourth quarter before providing feedback for 2022. Turning to our key message for the quarter on Slide 4. We had an extraordinary quarter, one which grew sales 37% from the prior year period to a record $304 million, including organic growth of 17%. Fourth quarter sales benefited from solid growth across all our core markets with especially strong growth from our NewSouth and Western Window brands, which increased 33% and 45% respectively. We have been able to increase production to meet demand. We were able to do this in large part because of the actions we took throughout 2021. These actions included increased hiring, especially in our Florida facilities, implemented operating improvements in manufacturing and distribution, expanded our manufacturing footprint and managing our supply of key inputs such as glass and aluminum. Increased bookings during the year translated into higher product shipments, as we work through our backlog and decreased our lead times. Now, we are well positioned to meet strong demand across our key markets and continue our growth trajectory into 2022 and beyond. Our recent acquisitions are performing very well with 2021 sales contributions of $107 million from Anlin Windows & Doors and Eco Windows Systems. Eco expanded our premium product lines in the high growth multifamily market here in Florida while Anlin helped build out our footprint on the West Coast. In addition, our Eco glass manufacturing capabilities have allowed us to lower our glass cost across our Florida brands and ensure our supply constraints, we felt from our main glass supplier throughout 2021. We believe these actions will be accretive in year one and important to our overall growth strategy for years to come. Despite inflationary pressures on input materials and labor costs, we were able to expand EBITDA margins by 110 basis points year-over-year. We took several pricing actions throughout 2021 including a 6% to 12% price increases on new orders that originated after November 1st. These actions are already contributing to top-line growth and should be fully in effect in the second quarter of 2022. One particular area of focus we needed to offset through pricing actions was aluminum, which is used in about 60% of our product sales. We saw all time high spot prices in the late summer of 2021. And currently, the prices are near those same levels. While our hedging program provides some relief, our uncovered supply continues to impact Q1, and we expect this will continue to some degree through the balance of 2022. In addition to price increases, our strong focus on cost control and operational efficiencies helped partially offset inflation in the fourth quarter and are expected to deliver continued margin improvement as we navigate ongoing labor and supply chain challenges. Furthermore, our backlog provides runway for top-line growth into 2022, while continued expansion in both our core geographies and product offerings provides us with a capacity to meet the robust demand we've seen over the past 18 months and expect to continue into 2022. Our revenue and margin strengths are key to our strong reoccurring cash flow. We ended 2021 with a cash balance of $96 million and leverage within our targeted range. Our strong balance sheet provides the flexibility to effectively allocate capital as we look to continue both organic and acquisition growth. All of these factors positioned us to generate robust top-line and adjusted EBITDA growth in 2022. Turning to Slide 5 which reflects our fourth quarter sales trends. Organic sales for the quarter grew 12% in our Southeast region, while sales in our Western region grew 45%. Both R&R and new construction markets continue this growth. Additionally, we saw growth across several or our key states including Florida, Texas, and Arizona. NewSouth grew sales by 33% and is poised for another strong year in 2022 as we anticipate four new store openings. These store openings are targeted towards key growth markets and include Atlanta, Dallas, Fort Worth, and Nashville. This will bring total store count at the end of the year to 17. Heading into 2022, the demand in our core market of Florida continues to be strong, while we saw impressive growth demand in 2021 both in new construction and repair and remodeling. We also know that housing inventory remains tight and demand continues to out pay supply, similar trends in Arizona and Texas and all our key markets continue to experience net growth and residents. We'll continue to invest to ensure PGT Innovation can meet this strong demand. Our investments in production capacity have allowed us to decrease average lead times continued strong demand has resulted in a backlog of $356 million at the end of 2021 compared to $200 million at the end of 2020. Slide 6 summarizes our strategic operational framework for profitable growth, as we seek to create long term value for shareholders while servicing our customers and communities. Our first pillar is customer-centric innovation, which allows us to offer products with a features, performance, and value demanded by builders and customers. Our Anlin and Eco acquisitions in 2021 are two examples of how we can expand our diversified portfolio of innovative products. Our second pillar is investing in talent, clearly having the right team members with the right skill set to excel at our company and in the right geographies is important given today's tight labor market. We were able to attract and retain talent through a series of action such as compensation packages that included long-term incentives, proactive communications, and emphasis on a safe workplace and a culture for employees know they are valued as team members and not just objects. Accordingly, during the year we increased our team member head count by approximately 1,825 including team members, Eco and Anlin location and improved employee retention versus 2020. Our third pillar is skilling our business. As mentioned last year, we focused on increasing our manufacturing capacity and operational capabilities to meet increased demand for our premium products and make key acquisitions to support long term demand growth. For example, our Eco acquisition allowed us to diversify our glass supply chain with the addition of another glass facility, and our Anlin acquisition expanded our reach into the R&R premium vinyl window and door market on the West Coast. Together, we expect these investments will enable PGT Innovations to meet increase demand and lead to continue top and bottom line growth in 2022. Our fourth pillar is allocating free cash flow to achieve profitable growth. This has included finding the right strategic, accretive acquisitions, investing in new product development and production capacity. We'll continue to be careful stewards of capital in 2022, as we look for opportunities to expand our business while delivering robust results. Now, I'd like to turn the call back over to John to review our fourth quarter results in greater detail. John?
John Kunz: Thank you, Jeff. Turning to Slide 7, we reported net sales of 304 million for the quarter, a 37% increase over the prior year quarter. This includes 17% organic growth from our legacy businesses including substantial growth within our NewSouth business, which continues to increase orders and installations. We also saw growth from our newest acquisitions, Eco Window Systems and Anlin Windows and Doors. In the fourth quarter, our sales breakdown finished at 59% R&R and 41% new construction. Our organic R&R sales grew 8% compared to the fourth quarter of 2020 and organic new construction sales grew 28% from the strength of our legacy brands. Additionally Eco and Anlin generated sales of $41 million during the quarter. Gross profit for the quarter was $108 million, a 37% increase from a prior year quarter, reflecting increased sales, partially offset by cost headwinds from labor and input materials. Included in gross margin is 1.3 million in cost related to SKU rationalization in our WinDoor line. This rationalization will allow us to gain efficiencies and better serve our custom with more streamlined offerings as well as benefit from 600,000 in cost related to the consolidation of two facilities in our Miami operations. Fourth quarter gross margin was 35.6% equal to the prior year quarter and a 90 basis point increase from the third quarter of 2021, driven by operational efficiencies, recent price increases and revenue growth. As we mentioned in previous calls, we invested heavily in our workforce in the second and third quarters. We also increased headcount to meet demand, increased wage rates and invested in onboarding and training costs. These investments helped generate improved operational efficiency and gross margin when compared to the third quarter. Looking into 2022, we expect a more fully realized benefit from these actions and our gross margins during our second and third quarter, typically, our seasonal -- our higher seasonal months. With regard to aluminum costs and hedging last quarter, we were hedged at 73% of our needs during the quarter, which helped in mitigating overall cost pressure. As of today, we have contracted approximately 38% of our estimated aluminum needs for 2022, all at levels below current market pricing. We have seen sharp increases in volatility, in the price of aluminum and our coverage program helps to mitigate a portion of these aluminum cost pressures. We will continue to monitor aluminum and other input costs and will take further pricing actions as needed. Selling, general and administrative expenses as a percent of sales, decreased by a 100 basis points compared to the prior year quarter. The higher costs in the quarter reflect primarily increased SG&A costs from our acquisitions as well as non-cash amortization expense. Distribution costs increased as we work to expand our Southeastern operations, which we expect will begin to normalize as efficiencies are gained. We expect to leverage these costs -- these fixed costs in the coming quarters. Our adjusted EBITDA was $48.2 million. Our tax expense in the quarter came in at 26% in line with our expectations. We reported adjusted net income of $18.8 million or $0.31 per diluted share in the fourth quarter of 2021, compared to $10.8 million or $0.18 per diluted share in the fourth quarter of 2020, an increase of 72%. Now turning to Slide 8. For the full year, we reported sales of $1.16 billion, a 32% increase from full year 2020. This included $107 million of sales contribution from Eco and Anlin, which were acquired during the year. Organic sales were up 19%, driven by a 17% increase in our Southeast business and a 26% increase from our Western business. Gross profit for 2021 grew 26% as a result of the increased sales, but gross margin decreased the 34.7% due to the inflationary pressures that hit during the year before our pricing actions were realized as well as the onboarding and training costs related to increasing our team member head count and manufacturing capabilities. Adjusted EBITDA for the year was $169 million or 14.6% of sales. Adjusted earnings per diluted share was $1.03 for 2021 compared to $0.97 in the prior year. Now turning to our balance sheet on Slide 9. We ended the year with net debt of $539 million. As of year-end, we had total liquidity of $170.5 million, including a cash balance of $96.1 million and $74.4 million of unused capacity on a revolver. In light of our recent acquisitions, our trailing 12 month run rate net debt to adjusted EBITDA ratio was approximately 2.9 times at the end of 2021. Next on Slide 10. You can see that we have grown EBITDA both through acquisitions and organic while maintaining a conservative leverage profile during the most challenging supply chain and environment in our history. We have done this through a track record of generating strong cash flows. On Slide 11, I would like to discuss PGT Innovation's capital allocation priorities. Our first priority is to reinvest in the business and to allocate capital to projects we expect will increase revenue, including through expanded capacity and product enhancements, as well as improved efficiency that enhances margins. Another important priority is our commitment to maintaining a strong balance sheet and conservative capital structure by continuing to lever after acquisitions. Finally, we use capital for strategic acquisitions that are expected to be accretive and generate strong returns over the long term. We look for opportunities that will enable us to expand into new regions, channels or products such as Anlin that would give us access to technologies, enhanced manufacturing or supply chain capabilities, such as our past acquisition of Eco. We continue to work to integrate our newest acquisitions and carefully evaluate other possible acquisition opportunities as part of our overall strategic plan, while focusing on deleveraging as we have done in the past. And now, I would like to turn the call back over to Jeff.
Jeff Jackson: Thanks, John. Next, I'll share our outlook for 2022 on Slide 12. For the full year of 2022, we expect net sales in the range of $1.35 billion to $1.45 billion and adjusted EBITDA in the range of $220 million to $250 million. So far, January has shown continued operational improvements, resulting in increased sales and profitability. At this time, we believe we will see improved EBITDA margins of 20 to 50 basis points in Q1 over Q4. We will see these continued improvements in the remaining quarters due mainly to the effect of pricing actions taken in Q4, improved leverage from higher sales during seasonal R&R summer months, and lastly, our NewSouth stores opened over the past 12 months gaining traction. For your reference, we've included additional modeling assumptions in the left-hand column of Slide 12, which are embedded in our 2022 guidance estimates and which can assist you in your calculations of your projected results. To close, I want to remind you why I'm very excited about our future and why we believe PGT Innovations has never been in a better position to execute on our strategy to create long-term value for our shareholders. First, we are a national leader with strong brands, which have been further boosted by our recent acquisitions. Our products are in growing categories in the fastest-growing regions in the U.S. Next, our product portfolio is diversified and poised to capture profitable growth in both the new construction and R&R channels. Third, we are always focused on continually improving our operations, which drives long-term margin expansion. We were successful in those efforts during the fourth quarter and we believe the processes we put in place will help us balance strong demand growth and supply chain challenges in 2022. As we continue to grow, we will build upon our programs to improve efficiency and gain the required capacity to leverage our fixed costs. Fourth, we have a long history of new product development that provides customers with innovative premium products to meet their challenging needs. And lastly, sustainability has always been a part of our company culture. Looking ahead, we'll seek to further elevate our commitment to conduct business in a socially and environmentally responsible manner. At this time, let me bring the operator in for Q&A. Operator?
Operator: [Operator Instructions] The first question is from Phil Ng of Jefferies. Please go ahead.
Maggie Grady: Hey, good morning guys. This is Maggie on for Phil. Can you talk about where you ended the year on price cost? Was that neutral or positive? And then with the inflation expectations for '22, Jeff, you called out aluminum. How are you thinking about price cost trending through the year? And does the '22 guide assume any incremental pricing or just what you've already implemented?
Jeff Jackson: Yes. I'll speak at high level on that and I'll let Brad and maybe even John add a few things. But we did ended the year -- first of all, 2021, the difference between price costing was our biggest challenge, obviously, with our backlog throughout the year at almost $300 million at any given time. Prices increased literally within a week. We couldn't take price increase or offset that for three months. It was definitely a challenging year between cost input and the ability to price. We did end the year, however, closer that they were still somewhat off -- slight difference between the two. We did take pricing in November, like I mentioned in my comments, opening remarks, and that pricing, we think, will finally bring the two together. And we expect to see that, probably, I would say the end of March. So, we will still experience a little loss between price and cost in the first quarter, not as much as we saw last year. That's why I'm confident we're going to continue to increase our EBITDA percentage anywhere from, like I said, 20 to 50 bps versus fourth quarter. So, we are narrowing that gap. And we -- both from an operational standpoint, reducing our lead times, making it less of an issue into 2022 as our goal. And it looks like we're actually accomplishing that so far. Brad, you got any comments.
Bradley West: Yes. The price of aluminum particularly was something that was continuing to spike even to the back half of the year, which kind of was the main reason for the price increase that we had in November. Right now, that is a relatively similar number for aluminum. So, the price increase that when it goes into effect should make that an offset. But I would say that the guidance for 2022 assumes that from that point forward, we have a good match. But as with all things, we have to consider another price increase because of inflation from this point going up from here, we'd be in a position to do that. And I think we're better suited because we've learned some things from the past, how to implement those price increases, so they don't take as long. Our lead times are lower now than they were last year at this time. And we've also changed kind of the way we implement price increases. So, it wouldn't be as much of the delays we've seen in the past.
Maggie Grady: Got it. Okay. That's really helpful. And then my next question, it seems like the labor issues are really behind you now and you're well positioned for '22 demand. But are there any short-term impacts, particularly from Omicron in 1Q that we should be mindful of?
Jeff Jackson: Yes. Thank you. And you're right, labor, we've done an incredible job. The team here throughout the Company has done an incredible job last year, bringing on labor. We made that investment choice to really increase our headcount, increase our hourly wage, focused on training. And obviously, workplace safety is our number one priority. So, we were able to add 1,800 plus folks. So labor number wise is not an issue for us right now. So -- and I think as we go through 2022, we're going to continue to reap the benefits of that. And you'll see that in direct labor, which improves subsequent quarter. If you look at our Q4 versus Q3, our direct labor percent has improved. So you're going to start seeing that benefit even more play out in the P&L into 2022. In terms of COVID, yes, it's still out there. I think it's going to be, in my opinion, it's going to be a new norm. We're going to have to learn how to work with it, like we've demonstrated we can. We have people out today that's tested positive throughout the Company and we have our procedures and processes in place to identify early and mitigate that impact on the lines. We did not shut down any lines in the back half of the year like we did at the beginning of the year. So, we have gotten definitely better at operating our facilities within this unfortunate environment of COVID. I do not see it really being a big impact in 2022. Again, as more people get vaccinated, quite frankly, our herd immunity as more people actually get COVID takes place, we're seeing it less of an impact.
Operator: The next question is from Ken Zener of KeyBanc Capital Markets. Please go ahead.
Ken Zener: Good morning, gentlemen. John welcome. I'm driving through sunny Florida here. So does your backlog, it's high, if I just think about your company bigger picture, I think you said 1,800 new employees last year. I mean, that's a lot. It doesn't -- it sounds like your direct labor is actually pretty under control. Your margin guidance and appreciate how you guys are laying out guidance suggests you're pretty comfortable with where West Coast operations are. What -- and you're bringing the glass production. Is it these variables that make you really comfortable in terms of your guidance versus prior years where the labor could have bit you in the butt in terms of the efficiency? Aluminum might go up. And right now, your pricing is very good. Could you take a little, I guess, the context by your direct labors why you're feeling so good about that? Obviously, the demand curve is very high. But in the past, it was always that labor piece that seem to get you guys away?
Jeff Jackson: Yes, Ken, I'll touch on that direct labor a little bit. Obviously, we made a significant investment in the second quarter of 2021. And then really into the third quarter as we kept training individuals, it takes about a good six months, quite frankly, for someone to get up to speed manufacturing wise to become what I would consider efficient in the plant. And so what we're starting to see, obviously, especially beginning even in this first quarter with our improving in direct labor, we literally saw in January. We're starting to see that efficiency start to come through. Now we have much more room to go. And I think we've demonstrated we can do that. Even in our past, if you look back into '19 and '20, our EBITDA margins were north of 17%. So, as we look into 2022 when we guide to a low-end EBITDA margin of 16.3%, we feel very comfortable with that kind of guidance. Actually, we think that's our low end to conservative. And so, we will continue to reap the benefits of the investments in labor we did. And I will say, out of that 1,825 team members we added, you got to remember that two were via acquisitions. We added Anlin individuals and team members to the family and we also added Eco. So, some of that was additions via acquisitions, some of it was literally hiring folks, the big hiring push we had in Q2 of last year, all -- and by the way turnover, which is another key indicator, our turnover has improved. So we're starting to retain a lot of the individuals we've hired, again, making me more comfortable we'll be able to produce and increase our capacities that we're seeing.
Brad West: And Jeff, I just want to add to that. The kind of inflation mismatch that we talked about with aluminum and some of the materials also did exist in direct labor. So, we early last year, went out and increased our labor wage rates and stuff like that. The pricing didn't necessarily come to offset that until later in the year and into this year.
Ken Zener: If you were to force rank, the margin contributors to your growth and I apologize if you have that in your slides, I have not seen. Can you kind of force rank how you're thinking about the material, direct labor, perhaps operational improvements out of the legacy West Coast business. Is there a way you can kind of force rank what's contributing to your margin gain?
Jeff Jackson: EBITDA margin, I'm assuming on that one. And yes, sure -- that's a great question. The biggest contributor obviously is pricing. Even as related to November pricing actions we took in the market, which is well received and all our competitors are doing the same thing. So, we feel very comfortable and we're seeing that stick. So, the biggest contributor will be the effect -- annualized effect of pricing. And then as you look to the acquisition EBITDA margins, if you pro forma the impact of Anlin into year-over-year, you're going to get about a $15 million -- at least a $15 million pickup from Anlin in EBITDA alone. So, pricing at the lower end, we'd say $70 million pickup related to pricing. Anlin adding another $15 million and then general volume that obviously offset by some of the inflationary pressures we've had to price for, mainly aluminum and labor. You get a nice flow in terms of margin buildup on the low end. Again, we've got a low and a high. All those items, obviously, are in the high end as well, just a little bit more aggressive targets.
Operator: [Operator Instructions] The next question is from Michael Rehaut of JP Morgan. Please go ahead.
Doug Wardlaw: Doug Wardlaw on for Michael Rehaut. I just have to ask about the acquisition pipeline and what types of targets you're looking for. Are there other B2B go out or anything larger, you could give a little bit of insight into that?
Bradley West: I will say we're always "looking," it's got to obviously meet -- deploying our capital, we don't take lightly. We try to make sure we do that and align us with our long-term goals of growing the Company in certain regions, in certain geographic areas and in our product lines. So, as we look to potentially add another acquisition, the pipeline is there, quite frankly, a lot of smaller players, a couple of midsized players and we're in contact constantly with them. We've had seven acquisitions over the last five years. Those came through relationships that were built over time. So, those are still being built as we speak for the ones we haven't acquired. And again, we'll look for I think product expansion, new product is going to be key, the products we may not have such as wood, for example, or wood clad type product and/or geographic. We want to continue to grow out west into the Nevada, California, Arizona and even into Texas, obviously. Those areas we feel are important to our future growth as well. So, we'll be looking into those areas. I would say those are probably the two top things. And yes, the pipeline is there. We don't really comment on who that is or the process, but we'll continue to look. And grow organically, that's also incredibly important, obviously, here in Florida. Our organic growth helps drive the ship.
Operator: And next question is from Judy Merrick of Truist. Please go ahead.
Judy Merrick: Thank you. This is Judy for Keith Hughes. You noted that your lead times have decreased you're exiting 2021. Do you have anything to add about how you're -- where you're on your lead times now? And is that any way we can kind of frame how you're thinking about the shape of the year with that impact kind of the shape of the year given the wide sales guidance?
Jeff Jackson: Yes, sure. You really have to look at lead times mainly by product brands, for instance. The biggest challenge for lead times in 2020, one was our PGT brand here mainly in Venice. Those lead times have improved substantially. Our aluminum lead times range from, again, certain customers, loyal customers, bigger customers from seven weeks to as high as 15 weeks on aluminum. And the vinyl lead times, we've gotten down to 10 weeks at the low end for, again, our major customers. And I guess you could say as high as 20 for some individuals. But I'll contrast that to CGI, which is another incredibly important brand we have that's been a growth engine for us. We've been able to get those lead times down to as low as four to six weeks. And so, we've actually implemented marketing initiatives into 2022. You'll see that in the first quarter guidance in our results when we talk about 2022. We're going to start running ads and start being more aggressive on the marketing side for certain brands like CGI. And then there's the lead times with retail front with new staff. They've remained -- they've improved last year because we had the capacity. And so we really control that internally because, again, we're the manufacturer, obviously, as well as the installer on that end. So, as we add four new stores, which are an incredibly great growth markets, Atlanta is on fire, Nashville is an incredible market to be in. So, as we add these new stores, obviously, that will impact capacity at NewSouth, but we feel those lead times we can maintain or improve them as well. And then there's Western. Western has really not had a problem with lead times throughout this process. They've been able to increase capacity. We've actually recently signed a new addition to about a 75,000 square foot addition to the lease facility there to expand the window line of Western just because of sheer demand. So, we think we're in a good shape via capital investments and our actions we've taken here in -- at the end of 2021 to really leverage well into 2022 with lead times coming down even more and capacities increasing.
Brad West: And I think I would add that there's still an expectation for an R&R type season. Last year, a couple of years, the quarterly flow of sales has been a little tricky, some of that's COVID, some of that's backlog or what have you. But I think this year, we're anticipating a little bit more historical trend where our sales in Q2 and Q3 would tend to be higher during the R&R season, particularly here in Florida.
Jeff Jackson: Yes. And I would say also, just to add to that, biggest impact, I think, going forward for lead times will be the distribution or dealer base we sell out into. They have to also have the ability to install. Right now, we feel, with the capacity improvements we've made, the operational improvements that lately we've added, we can produce more -- we can produce enough to meet market demand. And so our dealer base throughout the channels has to have the ability to keep up with that demand and that impacts lead times as well. And I know they're heavily investing in crews and trying to add installers and increase their bandwidth as well.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to John Kunz for closing remarks.
John Kunz: Thank you for joining us on our fourth quarter and full year earnings call today. We appreciate your questions and your interest in the Company. We look forward to your participation on our first quarter results call later this spring. Thank you very much.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.